Operator: Good morning, everybody, and welcome to the FirstWave shareholder update. Our presenters today will be Roger Buckeridge, Danny Maher, and Sharon Hunneybell. I'll now hand over to Roger to open the call.
Roger Buckeridge: Good morning or good evening to all members of the FirstWave family. It's both staff and shareholders. This is the regular quarterly update, and I'll hand over straightaway to Danny, who is appropriately speaking from Mexico City in the geography, where more than half our sales originate. Danny?
Danny Maher: Okay. Thanks, Roger. All right. I'll get straight into it. Good morning, good afternoon, wherever you are. So yes, as Roger mentioned, I'm in Mexico at the moment. So pleased to join you all, and I'll get straight into the updates. So next slide, Ruth. So Q2 is what we're recapping, but of course, looking to the future as well. And Q2 was very much focused on a restructure of the business, a capital raise, and a pivot of the company towards AI-powered compliance management. As we all know, a focal point for that is the monetization of our Open-AudIT user base, but it is not the only thing that we're doing to pivot the company towards compliance management. All of our products are involved in that. So a summary of what happened in the quarter, which would be of note was we had key renewals of key agreements with NASA, Claro Dominican Republic, Telmex, and other renewals as well. All those ones had increased revenues. As I mentioned, we have further restructuring to align our resources with what we want to do and where our revenues are. That restructuring is $1.8 million per annum in savings. So it was fairly large. And of course, there's on costs on top of that, which are further savings. We released very pleasingly the first version of Open-AudIT with AI-powered compliance management. I know you're all keen to hear how that's going, and Sharon will update you on that later. And we've been working on evolving the relationship with AWS and Ingram Micro. I know we can't get this call without commenting on the share price. So it's been an interesting quarter for the share price, which for all of us as investors and shareholders, it's painful to watch share prices go backwards. For me as an invested CEO, it's painful for me from an investment perspective, it's also strange to see a business improving with the share price declining. So we're trading now at basically 1x ARR plus our working capital, which being our receivables plus our cash, which is just extraordinary, I believe. So I just did want to let you know that, obviously, we're not in complete control of the share price, but the Board is considering actions on how we support the share price, how do we get our news out there, how do we get more eyes on the stock, that type of thing. Definitely, number one is we want some key news and sales from the business to announce, but these things can change very quickly. So I am in North America for February and March, so Mexico City, where I am at the moment and the U.S., to try and help with our sales and planning and general business as well. So looking forward to bringing some news, working with the team. Of course, the teams have been working in these geographies already. So hopefully, they can help me bring some news while I'm here. In terms of financial performance, so historically, we've provided information on our ARR revenue and GP. So we simply continue this format for Q2, and you can see the data here. The company's ARR increased 2%. Nice to see an increase. Of course, we want to see a higher increase. This came from uplift. So that's -- obviously, it's increasing above any churn. And it's mostly from uplifts from our existing customer base and a few small new customers. I do want to mention that we no longer see material churn in the cyber business, as the previously disclosed Telstra closure of the CSX2 platform has all materialized as have other changes in the Telstra contract, and we now have a new 1 plus 1-year agreement with them. So that business has now stabilized, and that's been where we've seen reductions in our ARR previously, and we've just seen the last changes come through in the first half of this year. In terms of the revenue reduction, it's simply due to a large one-off perpetual software license sale. It was $380,000 in Q1. It's the same with the gross profit. It's just because we had a one-off deal in Q1. As we can see, it's not our recurring revenues because they've increased. We can see that our gross profit margin is at 95%. So that reflects both the high margins in our NMIS and Open-AudIT businesses and the increased profitability in the CyberCision business. So a lot of the ARR that's gone away there was unprofitable business. So on the next slide, looking forward -- looking to the highlights for Q2. Q2 was a down cycle in our cash usage, but that is completely in line with our expectations, okay? It's always a down cycle. Q3 will be cash positive, okay? The company's cash is cyclical and predominantly customers renew their contracts at either calendar year-end, which is the financial year end in most countries or in Australia, our financial year. So June and December are our big months for renewal. So -- taking that into account, when you have the renewals come through in December, as we did, it brings the cash into Q3, which makes Q3 a cash positive quarter. So as at December 31, we had $2.5 million in receivables, and we expect to receive all of that in Q3. We've already received over $1 million of it. The company raised some money, $2.6 million, as you know, net of costs. And we secured a $2.5 million loan facility with partners for growth. This is a 3-year facility and the loan maturity date of 17th of December 2028. So it's a longer facility than the one we had with Formue Nord, and we used the funds primarily to repay the Formue Nord convertible note. So in summary, Q2 was a quarter of restructuring and capital raising, an exciting new product launch and enabling us to invest in the future of the business. I'll come back with a little bit of an outlook at the end. But for now, I think the thing most of us want us to hear is a bit of a product update from Sharon. So I'll hand over to Sharon.
Sharon Hunneybell: Thank you, Danny, and good morning, everyone. So I thought I would start today with the CSIRO and University of Sunshine Coast collaboration because that was announced yesterday and provide a little bit more detail on how this supports the next phase of our broadest product strategy. So the regional university industry collaboration program is run by CSIRO and funded by the Queensland government. And what this project is going to do is allow us to apply machine learning to the operational data that gets generated by NMIS deployments, with a focus on delivering production-ready analytics and automation at the close of the project. So through the program, we are going to be provided with a full-time AI/ML expert, who will be working directly with our team. And we also have an access -- we also have access to a team of additional identified AI designers, developers, and advisers from within the university, who have specific expertise in the field of AI and ML in networks. We also will have access to their state-of-the-art cyber labs. So this is really exciting because this is access to talent and resources that we wouldn't normally have, and it will really allow us to accelerate our growth and sort of begin implementing our vision of what we want to do with AI and ML with those massive amounts of NMIS that we generate or our customers generate. We are recognizing this as an initial project because there's opportunities to expand this project into another term. There's also opportunities to work together with the cyber labs across our other products. But most importantly, I guess, this work forms part of the broader shift towards our AI-driven compliance and automation focus across the whole software suite. We do see Open-AudIT as an entry point to the broader suite of FirstWave products. And so as we are building up the commercial interest and usage of the Open-AudIT products, they'll be able to then extend into this real-time monitoring, predictive risk detection and proactive planning across network infrastructure. So that's a little bit about the long-term AI capability, but I will now move over and update you guys with the most relevant near-term commercial and product performance, which is the Open-AudIT 6 release. So we launched Open-AudIT 6 to early adopters in November, and we had -- we went full public launch on the website on the 1st of December. As a recap, alongside releasing that new software version, we also introduced a revised licensing model, which centered on a new free tier license, which was designed to bring users into the commercial platform while maintaining a clear pathway to professional enterprise capability. So when they are using the free license rather than open source software, we get additional usage data, and it also allows us to guide them towards the commercial products within this version. So when we launched, it was intentionally measured to protect the existing global user base and to allow us to observe adoption behavior, integration stability, and the activation patterns that were occurring with these free users moving on to trials and things like that. So we really wanted to prioritize a sustainable enterprise conversion rather than trying to get any short-term burst of activity and position ourselves to scale and to sort of visibly be able to see how we can move people through to trial activation once they've adopted the free new tier. We're really happy with the way that's going. We're seeing really good uptake of the free tier. And so now we're really focused on growth. So the next slide, I'll talk a little bit about when we launched Open-AudIT 6, we also launched a brand-new website, a commercial website that focuses on all of the commercial features within the product and also allows people to purchase licenses directly from the platform or from the AWS marketplace. So the new openaudit.com site, with that launch, grew from fewer than 200 users prior to launch to around 20,000 users, with lots and lots of engagement events across the 2 months. Across the legacy websites, activity shifted from roughly 26,000 users before launch to about 19,000 afterwards. So we're seeing this more as a reflection of migration to the new platform rather than any real structural loss of demand. So in total, we've had 39,000 active users across both platforms across the course of those 2 months, which is a 50% increase on what we were getting prior to this launch. Most importantly, engagement is with the new website is really concentrated with the U.S., Europe and ANZ, which are our sort of target markets, and it's really improving the commercial relevance of our audience as we move into this enterprise conversion. So looking beyond the engagement with the website and on to user commitment, we're seeing an improvement of conversion following the Open-AudIT 6 release. So we had 5,991 explicit downloads of Open-AudIT 6. We also did 2 minor product releases within that time to deliver some small improvements based on observations that we have with the product and some feedback. Commercial trials are currently sitting at 6% from free users. Strongest uptake again is across Europe and the U.S. We currently have 194 open leads in nurture. We are seeing the first few professional enterprise license purchases emerge alongside our normal renewal activity, which was -- so we've had 2 activations in Europe and 1 in Australia. So while we're still very early in enterprise sales cycle, the combination of improving the conversion and the initial paid uptake is fairly encouraging, and I think it's showing real indicators of future commercial growth. So in closing, our focus is now shifting to the ongoing monitoring of key metrics and ongoing execution. Commercially, we are increasing targeted marketing activity. We've enabled marketing automation to strengthen the pipeline development, license adoption, and new enterprise contracts. From a product perspective, we continue to expand our compliance capability within Open-AudIT. We're deepening that integration across the broader product platform and of course, the advanced machine learning and predictive analytics within NMIS as we'll be starting with that project, and it's all very exciting. So together, these initiatives position us to convert early engagement into sustained enterprise growth and recurring revenue. Thank you. I'll pass back to Danny.
Danny Maher: Okay. Thanks. So this is just a simple slide with the outlook. And I'll say in opening that we've got a real thirst from investors and prospective investors for information, and we understand that. And that speaks to the fact that we're really changing our path for a different future. Historically, on these updates, we've given focus very much on the financials and looking backwards. So thanks, Sharon, for your update, and we're trying to get you guys a little more information about what we're doing as a business and what the future looks like. But certainly, it's about the company pursuing its path of AI-powered compliance management, right? So this is going across all our technologies. We've got a bunch -- we've got an enormous amount of intellectual property that plays into this space. And inside our products is an enormous amount of data, right? And it's the new developments in AI is what is very powerful for us because it gives us the ability to do things with that data and our customers. That data is not on the Internet. It's not in a cloud anywhere. So the only ones that can do it are us. We're the only ones with the user base. We're the only ones with the data. So we're very excited to be in this position, nervously excited. And obviously, we're pursuing this path, which will be safari, not a train journey, right, but it's an exciting safari, and it's underpinned by blue-chip customers with recurring revenues. Open-AudIT 6 release is going well, as Sharon outlined, and we continue to adapt and push the metrics. We've got sufficient funds to pursue our goals for the foreseeable future. We'll be generating cash this quarter. And the cash burn last quarter, as mentioned, is largely due to restructuring costs and because our R&D funds shift from last quarter to this quarter. And then on top of that, it's always a down quarter for us because our cash is cycled. So we're not concerned about that. We will hold an AGM to approve the share options will be issued to PFG. We've already released to the ASX what those options are under their agreement. The AGM is going to focus -- so you'll see the notice of meeting come out. The AGM will focus on the specific resolutions, okay? And the process is around getting those resolutions done. So it's encouraging -- and there won't be online voting at the AGM. So there won't be remote voting. So if you want to vote on those resolutions, then you need to vote by proxy before the meeting or attend in Sydney. But we do intend for that meeting to be very procedural. We won't be doing company updates or anything like that. We'll just be running through the resolutions. So I want to let you know about that because you see that notice of meeting in a week or two. Other than that, I'll hand over for any questions that you guys have. And we've got myself; Sharon; Roger, our Chair; and our Head of Finance, Tony De Polignol, available to answer any questions. If you have any, you can post them in the -- there's a Q&A session or you can post in the chat, and we've got a few here.
Danny Maher: So we have from Justin, how is the commercial conversion of Open-AudIT compared to targets set? What is the Q3 target for conversion, i.e., ARR and customers? Very valid question. The -- so we're on target. We want to see a kind of larger customer come on board this quarter. We're not putting the revenue. We obviously have our forecast and our budgets, but we're not putting them out there because as a public company, as soon as you put them out there, it becomes a public target. And the journey is a bit of a safari, right? So we've got to watch what's happening and adjust and maximize it. We -- I could say we're slightly behind our revenue target. We wanted a few more customers in January, but we're in front of other metrics. And we are stunned at the number of leads that we have. And we -- what was the number we had there, 190 or something. And so it's an incredible number of leads. And the fact we had a huge amount of activity around this product. And for it to -- for that activity on the website to up 50% over launch was very unexpected. And so there's different metrics, many of which are ahead of target. Why we not yet produced a share price re-rating? I don't know. Roger, I don't know if you want to turn your camera on and address this one? Sharon -- can we all turn our cameras on, Sharon and Roger. The share price -- so we had -- look, it's throwing a dart at why these things happen. But I can say as some facts, there's been a few dynamics. One, we did a capital raise. Two, the -- but we're below the capital raise price. Two, Perennial Value who were a major shareholder institution, they sold their fund. So nothing to do with us. They sold their entire fund and all the stocks that we hold in it to another group called Balmoral and Balmoral exited. So that created an overhang on stock. Perennial owned about 12%, 13% of the company at the time. So it was a pretty significant overhang. And there have been a few other things like that. And so to me, the business is a lot better. Stock price is interesting. Everyone tells me to focus on the business, but of course, I care a lot about the stock price. But it's pretty painful to see the stock price at 1x ARR plus working capital. I mean to me, it's ridiculous. So go and buy some. But you probably see announcements, I've been moving my stock out of my personal into my super to crystallize tax at these low levels. So we are looking at different investor relations initiatives and things like that. But ultimately, we need to do some deals and show some results and some growth. I don't know if you got some comments on that, Roger. It's an important question.
Roger Buckeridge: Yes. The reason why I'm happy that Danny is located to North America for February and March is that's where the future value of the business is being generated today in terms of sales revenues, new key clients and a focus on acquisition of new large-cap corporate clients. As well, we're very happy with the renewals that have come through. So there's plenty of support from the work that's been done in recent years. But we've got a new value proposition, which under Danny's leadership needs to be taken really through enterprise sales through dedicated business development relationships with large corporates. And most of that opportunity -- because we're a small company, most of that opportunity is in the Americas. It's not to say there isn't opportunity in Europe, and we've got an eye on that and some ideas about how we might be able to access and support more European large cap clients. So that takes a while, but we'll be able to report on progress, I think, in those endeavors at the next quarterly update, which will come after really a couple of months of very hard work and focus under Danny's leadership. So I'm confident about that progressing well. The share price is as it is. Yes, there's been a couple of overhangs, which have been dealt with, one of them being the Perennial/Balmoral thing, and that was the largest that's passed. Another small one to do with the final settlement with the former senior debt provider from Denmark, and that's being dealt with also. And so I think those things are very short term and tactical and not related at all to the progress of the business, utterly unrelated to the progress of the business. So we think we've just got to aware that for a while. And yes, this is a buy-and-hold investment as our corporate objective, and that's where the management team and a brilliant technical team, I might say, in terms of the software development with just outstanding performance. I think they're backable. So over to you, Sharon or Danny.
Danny Maher: Yes, that's good. I think so we got Justin -- what steps are being made to strengthen Investor Relations and market visibility? We have a couple of proposals in front of us from different IR firms that we are considering. The biggest thing is we need to get some news out there about commercial activity. But when you're inside the company like we are, you can see the leading stuff and you know the conversations and you know you can see the deals progressing and you -- if I'm here in Mexico, I can go and talk to the customers, which we expect to be doing deals with and generating news items. So you get a bit more visibility and you can kind of feel the business going forward better than external parties. But we definitely need to do some of these deals and get the news out there. And of course, we want new eyes on the stock, and we are looking at IR. We've got Joel there as well, which kind of taps into this, will directors buy on market. We look at that as well, like when you have employee share schemes in place and things like that. And I want to be clear, we don't hand out stock to most employees who -- and if you look at previous announcements about -- most employees who have bought the stock, they salary sacrifice. We don't go around printing stock and handing it out to people. We value it very, very highly. And when those mechanisms are in place, it doesn't really make sense for employees or directors to buy on market when they can leverage these other mechanisms, which are much more tax effective. And of course, each person needs to consider their own positions as well, like I already have a lot of stock myself, for example. But we understand direct to buying on market can help support the stock, and we do discuss it. We've got the pricing model-- what is the pricing model for Open-AudIT and the strategy behind it? Is it possible to make it relatively small to accelerate a high percentage of conversion to paying customers and then ratchet up price going forward? Sharon, do you want to take that one? I can add a bit if you want, but people get sick of hearing my voice. You're on mute.
Sharon Hunneybell: Yes. That's better. Okay. So Open-AudIT is -- has 2 pricing tiers, so you can buy professional and you can buy enterprise. It's charged out by a number of devices that you discover and actively audit and manage in your environment. There actually is -- it is actually quite a low price if you've only got a few devices. So for the smaller businesses, there actually is a free 100 device license. That was originally under a 1-year term, we've actually reduced that down to 3 months because we are seeing that people are activating the software and really getting it up and running pretty much within a day within -- or usually even within an hour is the average. So we've really improved the installation process. So the question about making it relatively small, the interesting thing is that the people that are looking at buying the software seem to actually be the bigger ones. So it still seems to be falling into a bit of an enterprise sales cycle, which is why we've got the 194 leads there, even though there's an ability for them to get up and running themselves and to buy the licenses online. So we are actively like monitoring the way that people are interacting with the software to try and get it will be great to get more just sales just straight off. They've activated themselves, they press the button, they buy the license. One of the licenses that sold last month was just very lightly assisted by our customer service lady in Mexico. So it's a good sign that we're sort of -- I think the pricing is right. I actually think that the pricing is right. I think we just -- I don't think reducing the price would make it any more likely that it will be bought. I think it's just a little bit of a slow buying cycle because it's really enterprise software. Yes.
Danny Maher: So there's a free version, right? So you can't get lower than that. And then there's -- unless we pay them. And then there's the tiers above that. It is reasonably low cost. And remember, it's an entry point to our other products. So we want to get in there with Open-AudIT compliance, get them as commercial clients paying us, talking to us, and then we want to sell them our other products that help compliance, in particular, our configuration management products and then our other management products and then STM, Secure Traffic Manager to, handle their traffic compliance and cyber decision for e-mail and web security and compliance. So we really want to use this. Open-AudIT is a lead generation machine. It is very attractive to other -- when we get approaches from other companies that want to acquire us or invest in us, often usually, they're from the U.S. And it's commonly because of this massive user base around Open-AudIT, it is a lead generation machine, and it's highly valuable and yet we're trading at 1x ARR like that. You can put lots of different valuations around that user base. To generate that amount of activity would cost an enormous amount of money and time.
Roger Buckeridge: Danny, it might be worthwhile just speaking about where we are most competitive with the NMIS product suite. I've heard you talk about the stress recently, the fact it's UNIX-based that it appears -- that is very competitive with very large enterprise customers rather than small, medium.
Danny Maher: Yes, that's right. With -- and it's interesting, and Sharon made the comment, we've seem to end up in enterprise sales with Open-AudIT as well. So I think what happens with these open source products is the lower end of the market just want to use the free stuff. So we end up in enterprise sales, which does require humans and does take time. If they don't -- no one's going to swipe a credit card for an enterprise sale. So it takes time. And the AWS relationship helps because we can have our software build on an invoice on an AWS invoice. So that's good. But it's the same with NMIS. It's the upper end of the market. The more complex or the larger the IT environment, the less competitors we have. It's as simple as that. So -- that's why we have customers like Microsoft, NASA, Telmex, Services Australia. They're all pretty blue-chip high-end customers. And the lower-end ones have a lot of choices of what they can buy. There's a lot of stuff that works, not for audit actually, but for network management, they do. And -- but as you move up that chain, there's less technology that will work at that scale. All right. We're getting near wrap-up time. Has Trump America's First policy been a negative, positive, or neutral impact on the company's sales? Interesting. I would say that here in Mexico, there would be a lower likelihood of people buying from an American company. So it's great that we're Australian. And I hope there's tariffs that get put on American products coming into Mexico because that would certainly be helpful for us. Overall, it's a bit of a mixed bag for us because there are certain organizations in the U.S. that like we've got customers like John Deere, their supply chain is disrupted enormously. Customers like NASA, their whole funding was thrown up in the air and became very uncertain. So uncertainty is not great for business in general, and there's a lot of uncertainty in the U.S. A lot of that seems to have settled down from our -- we just renew -- I think no, we haven't quite renewed John Deere yet. That's coming up. But NASA, we did. But NASA wasn't even sure what budget they were going to get. So that was a bit of concern for us, but we seem to get through it. Overall, I would think neutral to positive. But it's definitely a mixed bag. You notice the impact. It's a very interesting question because you really do notice the impact.
Roger Buckeridge: The other thing to say is that our products are largely priced in U.S. dollars. Obviously, we've got a cost base in AUD, but it's very, very, very competitively managed in terms of keeping a very lean organization with very seasoned developers who are very -- totally in control of the use cases and in touch with the customers. So if you think about just the currency shifts, yes, having our products priced in the U.S. dollar is probably good for us. It will cost a little more in terms of our Aussie cost base, but you've heard the story about the margins. So from that point of view, I think the currency sort of marketplace probably favors us right now.
Danny Maher: Yes. Well, yes, we rarely exchange money, right? We use investment dollars to pay Australian bills, and we get investment in Aussie dollars, and we use customer revenues in U.S. dollars to pay our U.S. bills. So we've got a nice little natural hedge there, and we very rarely exchange money. So it does change our financial results, but it's on paper. It doesn't actually -- financially, we're spending in U.S. and spending in Aussie dollars, so it doesn't really do much. But it does change what the results look like on paper.
Roger Buckeridge: Danny, can you just briefly talk about the recent strengthening of our U.S. business development sales team given that that's really based out of San Francisco.
Danny Maher: Yes. So we bought back Craig Nelson, who was CEO of Opmantek into San Francisco. So that's only recent. But we've got a big focus on those geographies. The stats that Sharon put forward about the -- over 50% of these commercial trials and therefore, you can estimate the same in terms of the number of leads are in U.S. and Europe. Europe is quite large for us. So we have to consider about how we address that, whether it's through partners or what we do there. We're not really funded to go opening new offices and things like that at the moment, but we are getting a lot of activity there. But yes, big focus on sales right now and good to have Craig back. He's looking after all sales globally other than Latin America. We got a ton of questions here. We have to filter them. Okay. So it's about revenue growth, share price growth. We're working hard on it. I expect to see some news this quarter, okay? So the amount of news and the size, we don't -- we're not putting forecast out there because we're very much embarking on a new journey. So we can't do that. Then we've got here from Matt. Thanks, Matt. Congratulations, Dan on the launch of Open-AudIT 6. Sounds promising and exciting. Also well done on the restructure, capital raise and refinancing in Q2, which no doubt was a significant distraction and had significant cost of business. Looking forward, I hope the business now has a much clearer runway, can be laser focused on execution. Can you provide more insight into Q3 and what a conservative expected closing cash balance? Wasn't clear in the 4C, and what is the business funding requirements beyond Q3. Okay. Actually, there's a question I skipped before -- sorry, from Dean, sorry, which was -- will you be operational cash flow positive this quarter? Or is it because of government grant timing operation slowly? And Tony, I don't know if you're there, I want to chime in on this.
Tony De Polignol: Yes, I'm here, I can answer that one pretty easily, I think. So as Danny said about Q2, how it's a down cycle, I suppose, in cash usage, the fact is Q3 is conversely an up cycle, right? So we do get a lot of those renewals that will come in, in Q3. So short answer is yes, it will be definitely a cash flow positive quarter even without the R&D. But in saying that, I'll also caveat with the fact that that's the period or the quarter where we do get most of the cash from our renewals.
Danny Maher: Yes. So Yes, it's a strong cash quarter for us Q3 and...
Tony De Polignol: It always is. Like for me, it's my favorite quarter.
Danny Maher: Last quarter -- this last quarter is the white knuckle ride every year, depending on how much cash you got in the bank. So it's gone, and we now enter into a cycle of positive cash and the R&D will make it even more so. I'm not sure that Tony, we would be cash positive without the R&D though in Q3.
Tony De Polignol: Yes, it's pretty good. It's going to be -- there's another question about the cash balance at the end of Q3. I won't answer that, but I'll just say it's going to be...
Danny Maher: Okay. What's the strength of SCT's AI offering in the absence of the USC-CSIRO collaboration? I'll kick that off and you can add, Sharon. So our real strength is in our data, right? So when you have products that are used as much as they are, they're on-premise, not cloud. And nobody is going to -- nobody will ever put all their -- the list of all their IT assets and the configuration out in the public domain, which means they'll never be able to use AI to leverage that enormous amount of data, which is in our products. So that's our real power. Our power is that we have the data that we can apply the AI to and nobody else does. So it doesn't have to be necessarily AI, our AI. And that's what I want to make the point. So we can leverage other developments in AI into our technology and other people can't because they don't have access to our data, okay? So that's a really important thing that I wanted to say. So it's not just about what AI we develop, which we are doing, and we have AI patents. We've been doing AI before it was trendy. So we've got patents and we released our first AI 10 years ago. So and then I'll hand over to Sharon for the second part on what the USC-CSIRO collaboration adds. But that also tells you why they're collaborating with us, right? So you can tag on to that, Sharon, because of the data we have, right? So if they want to develop AI and they want to research, they don't -- they can't do it without access to our data.
Sharon Hunneybell: Yes. So look, we -- as Danny said, we do already have some machine learning built into our NMIS products. We have actually got some work undergoing at the moment around dynamic thresholding and trending data. So in this quarter, we're working on bringing some of that into our opCharts modules. But what -- but what this really brings is because it's -- so because we have so much data, machine learning is -- basically relies on very complex mathematical models to be able to develop insights, but they're much more -- they're extremely accurate insights when you develop them. So the access that we get through this program are like top-tier mathematicians, AI and ML experts who've already built models. So they already have patented models in similar areas. And so I'm really excited about how we can apply some of the things that they've already built and shown to be effective, how we can adapt that to performance data, which is what we gather in NMIS. It is a really big opportunity to work with some very, very smart people who are well known in the machine learning space for networks and sort of let them with some performance data that previously they've been doing a lot more stuff with traffic data and things like that. So yes, it adds a huge amount of strength. And the people within our team as well, development team are really excited. We are a small team. And so having these external brains to sit there and problem solve on the best way to develop more like deeper levels of machine learning into our software and then just have our guys be able to implement that is also -- it's huge. They're working every day. They don't get a lot of time to step out into the think tank to dream out the best ways of doing these things.
Roger Buckeridge: Sharon, would you mind just reassuring anybody who is wondering about intellectual property control?
Sharon Hunneybell: Yes. Yes. So we do -- all of the intellectual property that's developed during this project is owned by us. So that's very clear in the project. So yes, it's -- this will be our IP to commercialize.
Roger Buckeridge: I think it's fair to say collectively, we're all fairly experienced at dealing with universities and CSIRO in Australia in these kind of contracts.
Sharon Hunneybell: Yes.
Danny Maher: Okay. I think that wraps it up.
Sharon Hunneybell: Ashton had his hand up for a little while as well. I don't know...
Danny Maher: We can't take... We work on written question. All right. Well, I think we'll have to wrap it up. Well, thanks, everyone. Interesting times, a lot of pressure on the share price, I know, and we care about that greatly. Appreciate your support. Hopefully, some news in the next month and 2 months -- and some other things we can do can help restore the price -- share price to where the business is because the business has a lot better opportunities than it ever has. The costs are down. The cash is under control. We're entering a cash flow positive period. We've got new products out there and great new collaboration there with AI and with CSIRO and USC. So a lot of good stuff happening, and I hope it's reflected in the share price soon because I know that's what you guys care about the most. You're not in this because you care about network management, cybersecurity, and artificial intelligence. You're in it because you hope those things deliver you a return on your investment. So we're focused on that and care about a lot. So hopefully, some good news this quarter. Anything else? We'll wrap it up there.
Roger Buckeridge: Thanks, everybody.
Sharon Hunneybell: Thank you, everyone.